Operator: Ladies and gentlemen, welcome to the Qurate Retail, Inc. 2022 Q1 Earnings Call [Operator Instructions]. As a reminder, this conference is being recorded, May 6, 2022.  I would now like to turn the conference over to Ms. Courtnee Chun, Chief Portfolio Officer. Please go ahead, ma'am.
Courtnee Chun: Thank you. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent forms 10-K filed by our company and QVC with the SEC. These forward-looking statements speak only as of the date of this call, and Qurate Retail expressly disclaims any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Qurate Retail's expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. Please note, we published slides to accompany the earnings release. On today's call, we will discuss certain non-GAAP financial measures, including adjusted OIBDA, adjusted OIBDA margin, free cash flow and constant currency. Information regarding the comparable GAAP metrics, along with required definitions and reconciliations, including preliminary note and Schedules 1 through 4 can be found in the earnings press release issued today or our earnings presentation, which are available on our Web site. Today, speaking on the earnings call, we have Qurate Retail President and CEO, David Rawlinson. Qurate Retail Group CFO, Jeff Davis; and available for Q&A Qurate Retail Executive Chairman, Greg Maffei. Now I'll hand the call over to David.
David Rawlinson: Thank you, Courtnee, and good morning to everyone. Thank you for joining us today and for your interest in Qurate Retail. Our first quarter results reflect the continuation of the supply chain disruptions, execution challenges and macro factors that impacted the second half of 2021. We also experienced a deepening of certain headwinds coming out of Q4, namely the fire at our Rocky Mount Worth Carolina fulfillment center, economic inflation and geopolitical events. The total company revenue declined 12% in constant currency. I would note that we were up against a steep comparison in Q1 2021, in which total company revenue grew 13%. On a two year basis, Qurate Retail revenue declined 1%. We believe the video commerce aspects of our business model are more relevant than ever, but we need to address inventory, operational and execution challenges as we stabilize the base business. This work brings us back to the fundamentals. We need to curate great merchandise, offer it at attractive values, present it in an engaging manner and deliver a superior customer experience so that customers repeat. The first step is architecting the team and organization to drive the change we need. We have already taken significant steps to do just that, with the restructured QxH organization. The work is underway, but it will take time. Importantly, alongside stabilizing the base business, we have discussed moving faster to capitalize on the live stream shopping opportunity, where I remain very enthusiastic. We created a new business unit dedicated to streaming and digital platforms to pursue incremental growth opportunities. Momentarily, I'll discuss the factors that impacted QxH in more detail. First, let me provide a quick overview of each of our other businesses. QVC International revenue declined 7% versus 2021 in constant currency. Our European businesses faced ongoing supply chain challenges and product scarcity challenges, as well as weakened demand following the Ukraine invasion. In Germany, our largest business in Europe, February demand was down in the low single digits prior to the invasion, and the days immediately following, demand declined more than 30% and has returned to low double-digit declines at the end of March. In the UK, we experienced a 15% to 20% decrease in viewership through the daytime hours and late evening news time slots following the invasion. Japan was less impacted by these pressures. On a two year stack, QVC International generated solid revenue and OIBDA growth. Zulily revenue declined 38%, and continue to experience top line pressure primarily due to supply chain challenges and reduced marketing efficiency attributable to cost inflation and privacy changes in our advertising partners. We are working to improve our unit economics. And most importantly, in mid-March, we were very excited to welcome Terry Boyle, as President and CEO of Zulily. His experience delivering revenue and profitability growth at Nordstrom and Outlook as well as in e-commerce and omnichannel retail is an excellent fit at Zulily. We are confident that with this new leadership, a renewed focus on improved unit economics and a normalized excess inventory and supply chain environment, Zulily has the capability to return to profitable growth. Cornerstone continues to be the star performer with revenue growing 19% and record first quarter revenue at each of its brands. This outstanding performance was driven by sustained consumer interest and home furniture and decor, strength in apparel at Garnet Hill and early pull forward of outdoor furniture as consumers anticipate longer shipping times. Returning now to QxH. QxH faced continued supply chain disruptions, shipping delays and downstream impacts from the fire at Rocky Mount. As we have discussed previously, supply chain challenges and shipping delays have an outsized impact on a single item merchant like us. While historically, this model has been a source of great flexibility and turning over our storefront every night, the acute nature of current supply chain disruptions has been particularly challenging for our business model. In the first quarter, QVC US shifted over half of its today's special values. HSN shifted about 60% of its today's specials. 72% of QxH's POs arrived late and on average, over four and half weeks away. The Rocky Mount fire impacted operations throughout our fulfillment network even more than initially anticipated, which put additional pressure on our ability to offer attractive merchandise on a timely basis. We lost 25% to 30% of our QVC US fulfillment center capacity and had to reallocate incoming inventory through the remainder of our network. To put this in perspective, we lost 1.5 million square feet in one of our most productive fulfillment centers, creating operational challenges to process orders and returns efficiently and causing capacity constraints at our other centers. We started the process to replace some capacity with third-party logistics providers and sourcing other additional space. But this new space is less efficient since it does not have the same level of automation as Rocky Mount. All these factors affected the amount of inventory available for sale and the added incremental fulfillment costs. Jeff will discuss the actions we are taking to address the inventory situation, but we know it will take some time to work through. We made the difficult decision not to rebuild our fulfillment center in Rocky Mount. We believe this is the right step for the business long term. This decision was part of a comprehensive analysis of our overall fulfillment center network. In this landscape where consumer expectations for delivery continue to evolve, we examined our complete fulfillment center footprint and are making decisions based on where the network needs to be in the next five years to compete with the strongest players in retail. The QxH customer count declined across all cohorts in Q1, reflecting a combination of the factors I mentioned, as well as marketing inefficiency. While QVC US best customers were down in count, they increased their average spend in the low to mid-single digits, largely driven by growth in apparel. Sales deleverage impacted OIBDA to a greater extent in Q1 than in previous quarters. In addition, we continue to experience cost inflation for freight rates, marketing and fulfillment center labor. We also experienced the new rates and surcharges for shipments waiting to be processed and higher fixed inventory obsolescence and bad debt costs, which Jeff will discuss. Looking forward, we are committed to maintaining cost discipline as an important driver of future value creation. As I've said before, we are undergoing a significant turnaround and are working through the factors within our control to be able to return the business to growth. Although the turnaround itself will take time, we are making decisions quickly, and I'm pleased with the advances we have made on a number of initiatives. We've restructured the QxH organization to reinvigorate growth at our core US brands. We brought dedicated leadership to QVC US and HSN and put our best operators in charge of each brand. We've given them accountability to grow the brands, master the value proposition for customers, refresh the product portfolio and bring a level of execution to the business that was [necessary]. We also created a separate streaming division to generate new revenue streams and attract incremental customers. Our focus is to get better relevance, penetration and productivity from our strong streaming reach. [Briefly] there, we have not had enough focus on streaming in the past. We are starting from a position of strength with our distribution across streaming platforms and applications. We are now focused on driving engagement on these digital platforms. We launched transactional capability on QVC and HSN streaming services on Comcast X1 and Xfinity Flex to 19 million households. Since last June, viewers have been able to launch the free app by speaking let's shop into their Xfinity voice remote. Now they can make purchases in the app directly using the remote. We've already introduced new streaming-only content. In April, we launched four new shows exclusively across our streaming app on Roku, Fire TV, Xfinity and Apple TV. Total look with our program post Julia features one staple apparel ties style three ways. The first episode featured a Jason Wu Spring dress. Vanessa Can't Cook with Vanessa Hearing introduces QVC host Vanessa who really can't cook to celebrity mentors and food experts to enhance her cooking skills. 24/7 deal drop is an exclusive daily deal for QVC and HSN streaming app users. And the total experience is a show dedicated to a brand or personality with exclusive content. So far, we have featured Calista and Mally beauty products, as well as recipes, cooking ideas and cookware from Blue Jean Chef, Meredith Lawrence. While we are in the early days of the organizational changes and turnaround, we feel good about the current business leadership. The leaders at QVC US and HSN are putting their imprint on their businesses, asking the difficult questions to uncover root causes and to elevate the accountability of their team. In summary, we are focused on stabilizing the core business and driving innovation in digital to enhance the value we create and deliver to shareholders. We believe the team understands the issues and have begun to address them. It's going to take quarters, not weeks and months, for our actions to become visible on the headline numbers, and we do not anticipate our recovery and turnaround will be a straight line. However, we are taking tangible actions to address and mitigate the pressures as we execute on the long term strategy. We have ongoing work on the long term strategic vision. We will be hosting an investor event on June 27th, streamed live from our headquarters in Westchester. We'll provide additional detail on strategic initiatives at this time, and we hope that you will join us. Now I'll turn the call over to Jeff for a more detailed review of each of our businesses.
Jeff Davis: Thank you, David, and good morning, everyone. Unless otherwise noted, my comments compare financial performance for the three months ended March 31, 2022, to the same period in 2021. Starting with QxH. Revenue of $1.7 billion declined 13%, primarily on lower unit volume. Overall customer counts declined in comparison to the strong growth we experienced in 2021, reflecting the impacts of supply chain disruptions, lower product availability and the Rocky Mount fire and macro factors that David had already discussed. As shown on Slide 6, we experienced a shift in category mix into apparel and a reduction in electronics and home. Apparel net revenue increased 2%, driven by our best customers with strength in our top brands, denim, dresses, swimwear and activewear. Beauty declined 9%, primarily due to weakness in Bath & Body, skin care and hair care. Accessories declined 15% and faced a steep comparison to last year in which it grew 12%. The year-over-year decline was primarily due to lower demand for leather handbags and casual and athletic footwear, reflecting supply chain disruptions with raw materials like leather and the timing of receipt of some of our seasonal products. Home revenue declined 16%, which also faced a steep decline of 14% growth comparison to last year. Demand was lower, most notably in floor care, fitness, wellness, kitchen electrics and cookware, which were most attractive during the pandemic. Electronics revenue declined 27%, which also faced a steep 16% growth comparison to last year. Demand challenges were primarily in computers, home office, smart home and tablets, subcategories that are particularly strong during the pandemic and are further impacted by issues related to product availability. Prolonged supply chain challenges, chip shortages, lack of innovation and fewer new and reactivated customers suppressed our home and electronics businesses. New and reactivated customers typically over-index in these categories versus our fashion categories, which pressured these cohorts the past couple of quarters. E-commerce revenue of $1 billion declined 13%, in line with overall revenue performance. Adjusted OIBDA of $225 million declined 36% and adjusted margin decreased 460 basis points. Looking at the main components of margin compression. Gross margin was unfavorable 140 basis points excluding the $80 million inventory write-down to support an accelerated exit of remaining on-site inventory at our Rocky Mount location as we prepare to permanently vacate the site. This charge is excluded from adjusted OIBDA and adjusted OIBDA margin shown on Slide 9 of our presentation. While our gross margins benefited from product margin gains, they were more than offset by unfavorable fulfillment expenses and higher inventory obsolescence. Product margins increased primarily due to category mix into higher-margin apparel and pricing actions on proprietary products, which was partially offset by higher returns and lower shipping and handling revenue. Fulfillment expenses reflect the net incremental expenses associated with the Rocky Mount Fulfillment Center, freight rate increases and detention and demurrage charges from fulfillment capacity constraints and a higher mix of inbound orders and returns, as well as higher labor rates and sales deleverage. These headwinds are particularly offset -- partially offset by the benefits of network optimization, which is delivering productivity improvements and reduced costs from the closures of our Lancaster PA and Roanoke, Virginia fulfillment centers. Inventory obsolescence, excluding the Rocky Mount write down increased primarily due to a larger increase in inventory in Q1 2022 than in the prior year. As we're taking actions -- we are taking actions to address our elevated inventory situation. Our merchant teams are reducing future purchases and inventory receipts. We are revising buyer incentive plans to install a greater accountability for sales, gross margin and inventory levels. We anticipate it will take time to work through these inventory challenges, but this work is critical to the business stabilization. Operating expenses were unfavorable 90 basis points, primarily due to pressure from customer service, reflecting sales deleverage, primarily from increased call activity related to Rocky Mount. Commissions increased due to a higher percentage of sales within the commissionable window driven by our shift into apparel. Higher credit card fees reflect an increase in the number of installment payments that were processed. SG&A was unfavorable, approximately 230 basis points, primarily due to higher administrative and bad debt costs as well as pressure from marketing expenses. Administrative costs were unfavorable, primarily from sales deleverage and restored head count in our broadcast production and investment in the merchandise and IT organizations. Bad debt reflects a prior year favorable provision adjustment and increased current year provision, reflecting higher number of installments offered and customer delinquency. Bad debt as a percent of net revenue is still approximately 25 basis points favorable to the pre-pandemic period. Marketing reflects cost inflation and lower efficiency and marketing spend. Moving to QVC International. My comments will focus on a constant currency basis in the results. Revenue declined 7% on lower unit volume but increased 7% from Q1 2020. Our European businesses face similar supply chain and product scarcity challenges at QxH. They also experienced a steep decline in customer demand in the days following the invasion of the Ukraine. QVC Japan which was less impacted by these factors was essentially flat in Q1, but grew 16% versus Q1 2020. Customer account declined from strong gains in 2021 and decreased only 1% compared to 2020. E-commerce revenue increased 3% and penetration increased 190 basis points. QVC International experienced declines in all categories except apparel. Adjusted OIBDA decreased 22% and adjusted OIBDA margin declined 300 basis points. On a two year basis, QVC International adjusted OIBDA increased 9%. Looking at the components of the quarter's adjusted OIBDA margin compression. Gross margin declined 170 basis points, primarily due to lower product margin and the deleverage and fulfillment costs, which was partially offset by lower inventory obsolescence. Product margins declined reflecting unfavorable returns, lower shipping and handling revenue due to reduced unit volume and lower liquidation recoveries. Fulfillment costs reflect sales deleverage and higher labor costs caused by higher COVID-related absence rates, as well as higher freight rates in the European markets. Inventory obsolescence expense was lower due to improved inventory quality and lapping a higher reserve positions in 2021. Operating expenses were unfavorable approximately 20 basis points, primarily due to sales deleverage. Customer service and TV commissions were lower than last year. SG&A was unfavorable approximately 110 basis points, primarily due to deleverage of administrative expenses. Moving to Cornerstone. Revenue of $297 million grew 19% with a record Q1 revenue at each of its brands, driven by sustained demand for interior furnishings, decor, case goods, fabrics, seasonal and bath products, as well as for apparel and textiles at Garnet Hill. The business also benefited from early demand for outdoor merchandise. Comparable catalog circulation declined 10%, reflecting industry shortages of paper and staffing challenges at its catalog printer, as well as cost inflation for printing, postage and paper. E-commerce revenue of $224 million increased 24% and penetration rose 340 basis points. Adjusted OIBDA increased 15%, primarily due to product margin gains and sales leverage of fixed costs and marketing expenses, which was partially offset by higher inbound logistics costs. Looking at Zulily. Revenue of $232 million declined 38%, primarily reflecting supply chain constraints, as well as marketing inefficiencies that were caused by cost inflation and privacy changes, which caused Zulily to reduce marketing spend, affecting its customer acquisition and retention. Operating income included a $2 million of costs related to its regional office space strategy and the previously announced closure of its Pennsylvania fulfillment center. Adjusted OIBDA declined $24 million, primarily due to sales deleverage, partially offset by reduced marketing spend and higher product margins, driven by pricing actions and a higher mix from its factory direct business. Turning our attention to the balance sheet and cash flow. Total capital expenditures were $43 million in Q1, and we spent $2 million on renewals of TV distribution contracts. Total free cash flow in Q1 was a use of $244 million this year versus a use of $6 million last year. The year-over-year decline was primarily attributable to the lower net income and unfavorable working capital primarily related to inventory, partially offset by lower expenditures for TV distribution rights and reduced investments in green energy. Looking at our debt profile. On March 31st, we had $747 million drawn under the QVC revolver with $2.48 billion available capacity and $608 million of cash on our balance sheet. Our leverage ratio, as defined by the QVC revolving credit facility was 2.5 times. We reiterate our commitment to a stated long-term leverage target of 2.5 times or better and feel confident we have multiple capital strategies to address near-term maturities and sufficient capacity to serve debt service above the QVC level. With that, I'll turn it back to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Jason Haas with Bank of America.
Jason Haas: The first is on the Rocky Mount facility. I'm curious how much longer do you think that will continue to be called out as a headwind? Like basically, the question is how long until we kind of can get the other facilities up and running, and it won't be an impact to sales for the QxH segment?
David Rawlinson: I think it's a good question. I don't think it's a straight line. What's clear is it's going to take some time to address the various ways that we have impacts on it. It might be helpful for me just to talk through a little bit the ways in which multiple levels of which Rocky Mount impacts us, because I think each of them have slightly different time line impact. So Rocky Mount had a number of impacts. It destroyed significant inventory, of course, and we've talked about that. But as I've also talked about, it also took out 20% to 30% of our most efficient capacity, both the store and process inventory. This in turn overstressed our capacity in our remaining fulfillment center network, exceeding capacity in some parts of our network, which reduced the productivity throughout the full distribution network. The second effect is that we receive the inventory being overcapacity meant we had to leave lots of products and trailers, which result in additional demurrage and detainment costs and then further this unprocessed inventory, because it's not in our system and ready for sale is not available for sale. Once we do get to the inventory and can process it, we have to move the product through slower and less cost efficient fulfillment centers and then that results in some additional costs. I would also just point to three places where it impacts sales. Seasonal and date-sensitive inventory that's remaining in storage or in a trailer and therefore, not available to be sold at the time when demand is highest. Second, customers that see delayed delivery times are less likely to purchase and purchasers experiencing a delay in their orders are less likely to repeat. And then finally, it also impacts your ability to put the most desirable things on air and your ability to plan and promote effectively in advance. And so as you look at the cost side, I think we will be experiencing some level of elevated costs all the way up until the time when we are finished building out our new capacity, that will take place over a number of quarters, I would say. On the inventory side, we are already working on getting to a more run rate inventory level throughout the business. And I would say that issue and that work is already underway, and I think we'll start to see improvements in the near term as we continue to work through some of that. And then on the sales side, I think as we continue to understand what's in inventory and continue to control our receipts, we're able to get to some of the programming and planning increasingly better every day as we come to a deeper understanding of our inventory. And so as I said in my opening remarks, it's something that's going to take sometime to work through. They're not near-term solutions. But I also think it will be getting better and less intense over time. It won't be fully resolved until we get to our future state, supply chain and including bringing back into the network a lot more efficient capacity. Jeff, anything you would add?
Jeff Davis: What I would add to that is that now that we've made the decision not to rebuild at Rocky Mount, we're working with our insurance carrier to finalize the sort of physical hard assets component of our claim as we think about now how we will rebuild in other locations. In addition to that, we will continue to take a look at what is the business interruption component in our business and we'll appropriately submit claims under that appropriate portion of our insurance policy.
Jason Haas: And then as my follow-up question, curious if you discuss retention rates a little bit more. I know that the customers haven't been retained, as well as we had initially expected following the pandemic. But I'm curious if now we've gotten to maybe a core base of customers that will be retained a little bit better from this point forward. So curious if you could comment on that outlook.
David Rawlinson: I'll make a few comments. I think one is customer counts declined basically in line with sales. The largest pressure in our customer file proportionately is with new customers. Part of that reflects the extraordinary growth of last year, I would say, and then part of it is due to supply chain product availability and the execution factors I've mentioned. One thing of note is we have a bit of a machine around repeat, and I would say that machine has been disrupted a bit. Customers tend to repeat in the same category. And then once you can get a customer to repeat 2 or 3 times as we've talked about, they tend to become very loyal customers for a long period of time, beginning that initial first and second repeat tend to be really important. To do that, you need to get something attractive to them largely in the same category. One of the most popular categories is electronics where we've been particularly challenged. And so I think our supply chain issues have had an ability of getting our customers to repeat. The other thing that particularly affects our ability to generate new customers it's just the level of marketing inefficiency you see in the digital marketing channels today. About 40% of our new customer acquisition is from paid marketing cost inflation from our paid marketing channels resulted in 30% to 35% lower efficacy of our marketing spend. And so you just see a direct read-through of that lack of efficiency and our new customer counts as well. So I think the new customer story is a bit of a complicated one, but we think we understand it. We continue to be encouraged by the strength of our existing customers, especially our best customers. And we think a lot of the challenges for new customers are moderating over time. Ultimately, we're building plans, especially in each of the brands to make sure we continue to be attractive to new customers. A lot of that's just focusing on the fundamentals and QVC and HSN, curating merchandise, concentrating on freshness and newness, enhancing programming, right host with the right show, creating a sense of urgency. We're going to be shortening some of the time that we show so that we can get show products so that we can give our consumers more variation and more looks at value. And so we're doing a lot across the enterprise to get back to the type of attractiveness for what we're showing the customer that we think will be disproportionately attractive to new customers as we seek to stabilize our new customer acquisition. Final thing I would just say is the new streaming unit and some of the new things that we're doing within our streaming platform give us an opportunity to reach different and new customers as well. And so that's also one of the reasons we've been concentrating there.
Jason Haas: And if I could squeeze in one more question. I was curious if the sourcing environment has gotten any better for Zulily. I imagine some of your competitors and some of the other retailers out there had some -- maybe also seeing a slowdown in some of the macro issues going on. So I'm curious if that makes you a better sourcing environment for Zulily?
David Rawlinson: I would say that we're certainly seeing some inventory levels and excess inventory levels pick up across retail. We do believe that over time, that should provide some opportunities with Zulily. I can tell you, Terry is very focused on that. And so we've, I think, said from the beginning that part of the real challenge for Zulily is they -- our business model is set up to take advantage of excess inventory in retail and towards the end of last year, there was essentially no excess inventory in retail. We do think that we're getting back to an environment or will be sold for an excess inventory problem across retail again. So we think we do see some signs that in the future that could provide for a more favorable environment.
Operator: We'll go next to Oliver Wintermantel with Evercore.
Oliver Wintermantel: I had a question regarding free cash flow, the use of cash this quarter. How do you see that progressing throughout the year? And should we expect for the full year use of cash or do you think you can still generate free cash flow?
Jeff Davis: As you all know, we don't provide guidance with respect to free cash flow. As it relates to the quarter, we definitely had most pressure on free cash flow as a result of our net income, quite honestly, across the business segments, as well as an inventory as we've talked a little bit about the buildup as a result of a number of different factors. As I think about going forward, our focus and attention on really cash conversion within our net working capital as we think about this inventory that we have and what actions we will take to appropriately accelerate the exit of that inventory, particularly in Rocky Mount. In addition, as we think about our receivables and then, of course, on the supplier side with respect to accounts payable. Those three elements of net working capital is where we're focused on working with our merchant teams, working our supplier teams such that we can manage that because at many times, that's where you'll see a little bit more fluctuation from quarter-to-quarter.
Oliver Wintermantel: And then my second question would be, I think it was you, Jeff, saying international. You gave some examples of beginning of February and then after the war started in Ukraine and then now end of March, you saw some improvement. Was that just really specific to international or did you see that in the US as well?
Jeff Davis: It was interesting in that one of the business items that saw something almost identical was in our Cornerstone business for the first 14-plus days of the war they saw a pretty precipitous drop in their overall demand, but we're able to see a recovery off of those lower levels subsequent to that. Across the QxH domestic business as a result of, once again, the distractions that would have from a viewership perspective would have seen some level of decline for about a two week period also. So it was not just unique to our European markets. Our European markets had more of an ongoing impact of it, particularly because of some of the direct connections, then back to the Ukraine and of course Russia from a standpoint of some of the energy that they get from there and the concerns about longer term impacts.
Operator: Our next question comes from Carla Casella at JPMorgan.
Carla Casella: One question on -- can you just talk about as e-com grows, do you expect to spend less on your TV distribution rights? I mean, they were down significantly this quarter. Do you have a target for '22? And then also just on the spending on the distribution rights, do you see any direct correlation between that and kind of sales growth over the next several years? Is there a way to look at that?
Jeff Davis: So the TV distribution rights, those represent multiyear contracts that we pay for. This year is what we call an off-cycle year with respect to the number of contracts with major relationships that we're renewing. I had given guidance that back in beginning of the year that our expected spend was going to be somewhere between $80 million to $90 million in TV distribution rights versus the prior year being almost double that. So just kind of give you the relationship of an on-year versus off year cycle. As the number of subscribers on these different platforms decline, you would actually see a lowering of our overall TV distribution obligation as you go to renew those contracts and as they're adjusted over time. But there would not necessarily be a direct correlation. And that we well know that many of our customers, especially our best customers, who are still on these platforms are not cutting the cord at the same level as some of the others, as well as we can recapture those customers many times in other platforms, not only in over the air, so the ability to use digital antennas to pick up our signal where we are very prominent in a number of affiliate stations around the US. But then also as those customers move to some of our other streaming platforms, as David had talked about and the work that we're doing to have a much greater presence there, we have a great distribution, we lead in distribution there, but now it's around how do we convert those customers as they're on those platforms.
Carla Casella: And then did you buy back any of the additional into bonds this quarter, and what are your thoughts in terms of using some of your cash for any of those buybacks like you've done in the past?
David Rawlinson: Ben, do you want to take that?
Ben Oren: We did not buy any during the last quarter. I think we made -- or we got the question previously. And what we've said is it's a function of how much availability we have with respect to interest deductibility. And so we'll look at that over the course of the year and determine whether we have flexibility and how much. But that is something that we will look to do proactively when we have capacity, whether it's this year or on an annual basis.
Carla Casella: And I missed the revolver borrowing. Could you give that -- I think you gave that number.
Ben Oren: $747 million as of 3/31.
Operator: We'll take our final question from William Reuter with Bank of America.
William Reuter: Previously, you had noted that you expected that the supply chain will improve in the second half of the year. Do you still expect that this is the case? And kind of on a related note, are there certain vendors that have had particular challenges getting product to you? And if this is the case, are you shifting your vendor mix at all to try and I guess, have some additional vendors that may have better supply chain capabilities?
David Rawlinson: If I’ve learned anything, it's not to try to predict this supply chain and when exactly it will -- when exactly the pressure will let up. I would say we've seen some stabilization over time in the supply chain, I would still have a soft expectation that, that stabilization will continue through the second half of the year. But it's still, I would say, very disruptive what we saw in Q4 and Q1 were still relatively pronounced. I think I may have said 72% of our POs in Q1 were delayed and they were delayed for an average of 4.7 weeks on account basis. So still I'd say real disruption coming through the supply chain. We are learning through this process, which of our partners are the most dependable, and we are learning through this process what regions are the most resilient. And so we are, of course, shifting, I think, consistent with those learnings. Some of this takes a while to ship for some home products, lead times can be as much as six months. And so even as you have those realizations, you can't always turn it overnight. But I think we're doing the right thing to get to a more dependable supply chain structure going forward. We're also, of course, impacted by continuing to watch things like the shutdowns in China for COVID-related reasons and interruptions of the international supply chain given the situation in Ukraine. And so we're monitoring all of those things very closely.
William Reuter: And then I guess as a follow-up, I've always felt like that today's special value is one of the kind of key cornerstone components of the business. If you had to shift half of these for the last two quarters, that's clearly a little bit of a onetime challenge as you do get these better product availability. I guess what type of a decline in those sales are you seeing if it used to comprise 20% of quarterly sales, where would that be now?
Jeff Davis: So it still comprises approximately 20% to 25% of our sales on a particular day, week, month. We have not disclosed what our growth or decline would be at that level of detail. So as you would think about the total revenue base, and it representing 20% to 25%, it would be pretty much in line with that.
David Rawlinson: Just to add some additional color. I think -- you're right that it's central to the business. And I think their flow-through effects where it affects it affects traffic, it affects new customers, it affects the number of people that come to our Web site and find things that are not in today's special value because they saw something attractive in today's special value. So you're right in that it's absolutely central to what we do across our video platforms and when that's disrupted, it does have broader effects. And I think there are things within and without our control, to some extent, these the shipment delays that were planned for today's special values have been difficult. I also think we have real opportunity to restructure to freshen both on the merchandise side and the presentation side in the tempo of today's special values for how we're presenting it to our customers. We have a lot of work going on, getting back to fundamentals of the thing that's made that such a really special business generator over time. And so part of the execution that we've discussed is focusing on tools like that and making sure that those tools are working at an optimal level, and we think there is an opportunity there.
William Reuter: And then just one last one for me. I've always felt like the agility to shift between categories has always been another strength. And in the event that you're often having to put products on that you simply have sufficient availability, there's obviously been some sort of a loss of selling products. But if you had more of, you would probably be generating higher sales. Is there any way that you've tried to quantify what the impact of lack of product availability has been on your sales either this quarter or over the last couple of quarters?
Jeff Davis: It's a great question and one that we have tried to -- and quite honestly, put a finer point to. There's just a number of different elements that we've talked about today that come into play. The challenge is, quite honestly, William, that many times when we don't have a particular product available, we are substituting it for another product that might be of lesser demand purchase occasion. But you still do get sort of demand for that particular product, which you missed many times the purchase occasion, many times you missed a new customer who is looking for a particular product in the same category in which they purchased previously. So unfortunately, I can't give you anything direct on that. We do know, we can see when we have when we need to replace a product from a TSV perspective, a decline in the productivity for the day. But many times, when we do have the product, we see just a really great response and we get a recovery of it. So these are things that we have to work through. We think that we have still the agility to do so, but it becomes in this environment a little more difficult given the availability of the product.
David Rawlinson: The only thing I would add is it's not just that moment, it's the moment before and after. So when you don't have predictability, you can't promote in advance the fact that you're going to have a special value through all your channels. So all of the pieces that come together to make that really powerful special opportunity also under fire. So we do from time -- we do measure the productivity from when we have today's special value adds planned versus when there's a substitution, and we do observe material impact. I don't think we've quantified that exactly publicly. But certainly, there is an impact to how these challenges work their way through our P&L.
Operator: And before we close the question-and-answer session, we will turn to Carla Casella with JPMorgan.
Carla Casella: So just trying to understand on the unit weakness, I wanted to just drill down a little more if you can break out any differences between either online unit sales versus viewership? Or if it comes at any different kind of age cohort of the consumer, or if it comes from the sort of like new, reactivated or existing customers? I thought if we could get on the unit decline would be helpful.
Jeff Davis: The unit decline is really coming from -- it goes back to the different product categories in which we had the most significant pressure, and that was ultimately in our home categories. So that, coupled with the overall decline in new customer growth in those categories where they have the highest affinity is where you would see the unit decline. Offsetting that you see the unit increases in such things as apparel and even in some of the subcategories within some of our other fashion categories, as that best customer continues to look for opportunity and value and things that are of particular interest for them during the course of the quarter.
Carla Casella: So are you not seeing a major change or shift in the kind of age bracketing of your consumer?
Jeff Davis: We look at that over a course of time. One of the things that we usually do is provide a little more insight to that on an annual basis in our November sort of Investor Day. We do know that, you see, within the economies that the age bracket of 55 and older, let's say, are the ones that are continuing to have capacity, more resiliency in the marketplace. But yes, we continue to have great connection with our younger cohorts as we continue to expand some of these digital platforms. So it runs the gamut. But once again, we look at that over a course of a year, not necessarily in a particular quarter.
Operator: And that is all our questions for today. I'll turn the conference back for any additional or closing comments.
David Rawlinson: I just want to thank everybody again for their interest. I want to reiterate that I think we have a lot that we're working on currently. I think it's a business that is adjusting every day, but we, as a leadership team, are also concentrating on making the business better every day. And I think there's a lot of energy and momentum in different parts of the business as we continue to do that. I'd also invite everybody again to the investor event. I think we'll have a little bit more space and opportunity to talk about some of these efforts and the go-forward strategy at that time. But thank you for your interest and look forward to continuing to talk to the people on the call in different environments.
Operator: Ladies and gentlemen, that will conclude today's call. We thank you for your participation. You may disconnect at this time.